Operator: Good morning, and welcome to the Premier Financial Corp. First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Paul Nungester with Premier Financial Corp. Please go ahead. 
Paul Nungester: Thank you. Good morning, everyone, and thank you for joining us for today's first quarter 2024 earnings conference call. This call is also being webcast, and the audio replay will be available at the Premier Financial Corp. website at premierfincorp.com. Following our prepared comments on the company's strategy and performance, we will be available to take your questions. 
 Before we begin, I'd like to remind you that during the conference call today, including during the question-and-answer period, you may hear forward-looking statements related to future financial results and business operations for Premier Financial Corp. Actual results may differ materially from current management forecasts and projections as a result of factors over which the company has no control. Information on these risk factors and additional information on forward-looking statements are included in the news release and in the company's reports on file with the Securities and Exchange Commission.
 I'll now turn the call over to Gary for his opening comments. 
Gary Small: Thank you, Paul, and good morning to everyone, and thanks again for joining us today. Quickly for the quarter, we reported net income of $17.8 million or $0.50 per share, and I will begin with comments on our most significant topic in the quarter. Our average annual deposit growth was a respectable 2.6% for the quarter. Consumer deposits were once again strength of the storyline. Average outstandings were up 7.5% annualized, and that's a continuation of being up 6.7% annualized during the second half of '23 so that's 3 very strong quarters on the consumer side.
 Public funds grew $66 million from point-to-point over the course of the quarter, which was about 4%. Commercial deposits provided the unfavorable surprise for the quarter, with commercial noninterest-bearing deposit balances down $86 million, and that's about 8% in the month of January. And that's far in excess of the typical post year-end balance decline that you are accustomed to for tax payments and distributions and so forth. We performed a detailed client relationship review, and it revealed the elevated use of the deposit liquidity to fund more typical CapEx financings and other financeable working capital borrowing needs. Clients are making efficient use of their capital. And the NIB balances -- balance movement did stabilize over February and March, and balances were beginning to replenish in April.
 Premier secured higher cost funding to replace those NIB balances and we expect to recover the majority of those lost NIB balances over the course of the next 2 quarters as businesses refill their coffers. 
 The atypical January event resulted in a 6 to 7 basis point hit to Premier's net interest margin for the quarter. It was a bit more of an episode than any sort of systemic decline. I will add that beginning in early March, we began a repricing program to get ahead of the Fed, selectively reducing deposit rates, testing elasticity of our deposit portfolios, et cetera. Early results are encouraging, and we expect more forward -- March forward pricing movement in advance of any reductions that would be triggered by the Fed move to reduce rates down the road. 
 Switching gears. Loan balances for the quarter were essentially flat on a linked-quarter basis with commercial payoffs occurring per plan and the pace of new business funding coming on board a bit more slowly than anticipated back at the beginning of the year. March saw a return to more typical commercial loan business activity with -- and we have no change in our full year growth expectations that we expressed in January. We experienced excellent expense management during the quarter and our noninterest income benefited from a resurgence in residential mortgage volume and better unit gain on sale related to those mortgages. We also saw a continuation of strong wealth management fee income, and it actually outperformed our expectations for the quarter. 
 On the credit front, the consumer residential loan portfolio saw delinquency declines, total NPLs are well in check and net charge-off levels remain at a very modest level. Capital is in great shape, which Paul will have a couple of numbers on, and I'm going to turn it to Paul for his perspective. 
Paul Nungester: Thanks, Gary. Beginning with the balance sheet. We had another quarter of deposits growth, including 2.3% point-to-point annualized and 2.6% annualized for average balances. Mix migration continued with decreases in noninterest-bearing savings and checking deposits, while CDs, money market and pub fund deposits all increased. On the other side, total earning assets increased primarily as a result of security investments, while loans declined slightly for the quarter. Our loan-to-deposit ratio improved by 110 basis points, and we were able to keep wholesale fundings flat. The combination of a slight decrease in loans, a larger-than-expected decrease in noninterest-bearing deposits and additional interest-bearing deposits disintermediation led to further net interest margin compression for 1Q. 
 Excluding the impact of PPP, balance sheet hedges and acquisition marks accretion, loan yields were 5.29% in March, which is an increase of 5 basis points from 5.24% in December 2023. This is also an increase of 153 basis points since December 2021, which represents a cumulative beta of 29% compared to the 525 basis point increase in the monthly average effective Federal Funds rate for the same period. 
 Also excluding the impact of PPP, balance sheet hedges and acquisition marks accretion, total earning asset yields were 4.95% in March for a cumulative beta of 31%. On the other side, excluding acquisition marks accretion, total deposits were 2.45% in March for a cumulative beta of 43%. And excluding the acquisition marks accretion and balance sheet hedges, total cost of funds were 2.59% in March for a cumulative beta of 45%.
 Next, noninterest income increased $0.7 million to $12.5 million in 1Q primarily due to mortgage banking income, where gains increased $0.8 million from last quarter as a result of higher margins, including hedge gains related to the increase in 10-year treasury rates. The increase in treasury rates along with continued slowing of prepay speeds also led to a $0.5 million MSR valuation gain compared to a $0.2 million loss last quarter. This was partially offset by security losses of $37,000 compared to gains of $665,000 last quarter.
 Expenses of $39.9 million were up $2 million on a linked-quarter basis due to annual merit increases and the seasonality for items that occur in the first quarter only of each year such as taxes and benefits on annual incentive payout. On a year-over-year basis, expenses are down 7% or essentially flat, excluding expenses for the insurance agency sold in June 2023. We also improved our expense-to-average assets ratio by 19 basis points to 1.87% compared to the first quarter of 2023. Provision for the quarter was a benefit of $133,000 comprised of a $560,000 expense for loans and a $693,000 benefit on a linked-quarter decrease in unfunded commitment. 
 Provision expense for loans was primarily due to $393,000 of net charge-offs, which were only 2 basis points of average loans. The allowance coverage ratio did increase 1 basis point to 1.15% of loans. 
 And I'll close by mentioning our continued improvements to capital. Our TE ratio remained north of 8%, and our regulatory ratios have further strengthened, including CET1 at 12% and total capital at 14.35%. These enhancements represent a solid foundation as we continue to weather the near-term uncertainty. 
 That completes my financial review, and I'll turn the call back over to Gary. 
Gary Small: Thanks again, Paul. I'll take a moment to provide some adjustments to the '24 guidance that we provided in January, incorporating the Q1 results and adjustments to our assumptions for the remainder of the year. To begin with, I expect earning asset growth to come to 4% on a point-to-point basis, which affirms our guidance in January. Total loan growth, we're expecting a 2% movement with commercial being up 3%, offset by a decline in our lower-yielding residential mortgage portfolio. And so there's no change there, it's what we expressed in January as well.
 Deposit growth remains in line with the expected earning asset growth, consistent with our initial projections. On the front of net interest margin, our forecast now calls for just 2 turns from the Fed in '24. We eliminated 1 turn in May and now just have 1 sitting in the middle of the third quarter and the middle of the fourth quarter. Combining the expectation of 1 less Fed turn with the elements of the unfavorable Q1 margin results, plus the effect of the favorable pricing adjustments that were initiated in March, our revised full year forecast margin falls in the range of the low-260s to probably a topping out of about 265, all things being equal. That's a 10% downward -- or 10 basis point downward adjustment from our original guidance.
 Full year net interest income in January was forecasted to be up 2%. With the changes that I just mentioned, we are now forecasting us to be down 2% from where we were in 2023. From a provision standpoint, net charge-off expectations remain very favorable for the year. And we're reforecasting to be at a level of 5 basis points versus the 10 basis points that we would have directed in January and we still expect our coverage ratio to be a couple of bps higher for the year. On the noninterest income front, I would adjust the full year estimate. We originally gave you $48 million. We're looking at $49 million plus based on an awful lot on the strength of the first quarter and what we see coming down the road.
 Expenses. We do have a run rate reduction there, solid Q1, and we are adjusting spending levels down across the remaining quarters and our full year guidance now would be at the $156 million range versus the $160 million that we would have provided in January. We'll be deferring some select projects and related FTE additions, consulting fees and so forth that go with that. 
 Premier's earnings progression. With one less Fed cut anticipated, the hockey stick that I mentioned back in the first quarter relative to the quarterly earnings progression has flattened out a bit with Q2 more flattened and more of an upward slope for Q3 and Q4. We do still expect to perform on plan. We're just winning in a slightly different way, less on the margin and more on the other factors that we mentioned. So reflecting the lower interest income offset by stronger noninterest income, lower expenses and continued solid credit performance, we still are on target with our full year expectations from earning that we were thinking about back in January.
 And with that, operator, we're ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Brendan Nosal with Hovde Group. 
Brendan Nosal: Maybe just to start off here on kind of the liability mix moving through the year. It's nice to see wholesale funds pretty much flat for the quarter and the improvement in the loan-to-deposit ratio. I guess just given the unchanged outlook for loan and earning asset growth, can you just comment on the potential need to further draw on wholesale sources as we move through the year. 
Paul Nungester: Brendan, as Gary was saying in the call, we intend and are continuing to work ourselves towards keeping our deposit growth to match our earning asset growth. So for the remainder of the year, we would not expect to have to lean into wholesale funding. We're changing the mix between FHLB broker depending on relative pricing, taking advantage of what we can. But in terms of levels, we would look to keep that flat for the year. 
Brendan Nosal: Okay. Great. Maybe one more for me, just turning to credit. Most numbers were fantastic for the quarter. I did notice some migration from Special Mention into Substandard. Any color you can provide on the credits that may have driven that move and kind of how you're positioned? 
Gary Small: Sure, Brendan, this is Gary. Good eye there, it really was just a movement from one category to the other of the same credit. We have -- it's an accruing credit, and we have a clear path forward for the group, but I think it will take the next couple of quarters for them to make the adjustments they've got to make to their CapEx scheduling and so forth where we would see a reverting backward. But it is not a new credit. It is just a movement of one credit over. 
Operator: Our next question comes from the line of Christopher Marinac with Janney M. Scott. 
Christopher Marinac: Gary or Paul, can you talk about deposits from the commercial side? Was there excess liquidity for those accounts? Or was that just again an anomaly given what you had said earlier about taxes, et cetera? 
Gary Small: When we looked at over 100 relationships that had the biggest movements, if you will, from a point-to-point perspective over our 8 markets, and there was the normal thing that you would see of expenditures for getting inventory in place and all the normal day-to-day things that begin about that time of year, along with the normal distributions that you would expect once numbers are settled and folks know what they can move out of the till. Where we saw -- as I mentioned in the comments, we did see absolutely folks were saying, "I would normally finance that $3 million or $2 million or $1 million of rolling stock or whatever that might be, and rather than dip into my 8.5% line or ask for fixed credit on that. I'll just pay with cash, keep my leverage down." 
 There would -- if that would have been once or twice out of all those relationships we reviewed that would be one thing, it was a pretty consistent theme as to where the money went this year that was a little bit different than it had in the last. We did have 2 credits in that whole stack where the money moved from excess liquidity and noninterest-bearing and became swept into a money market account, earning obviously, at a much higher rate. So they just, again, got a little bit more efficient with where their money was placed on the balance sheet. We had one client that moved, that had enough excess liquidity and with the pricing the way it is now went ahead and moved that into the investment portfolio. Those 2 would be outliers, but they were not small balances, but it was mostly just using cash on hand to take care of the balance sheet and not drive up their leverage. 
Christopher Marinac: Okay. Great. That's helpful. Do you see new inflows from that source of business or just net new corporate inflows as this year ensues? 
Gary Small: It's a great question. We did look at the month-to-month movement since January. And as I mentioned, it stabilized, it got down to plus or minus the de minimis movement off of that January period, and we started to get the uptick in April. That's not inconsistent. If we go back to the bad days of last year at this time after the 3 banks issue, we had some commercial deposits move around looking for additional protection and so forth. Once that was in place, the balances immediately start to grow because the cash that they are creating over the course of operating the year starts to stack up. And I don't see this year being any different. There's no indication that we should expect anything different. 
Christopher Marinac: Got it. And then just a quick question on credit for me. Do you see any stress debt service coverage ratios coming into criticized levels? Or is that already reflected in what we saw at the end of March? 
Gary Small: It's very much reflected. We did a very detailed review that -- in the fourth quarter of last year on all credits $0.5 million and higher. So you can imagine that's a big pile across the organization and really got -- ran them through shock scenarios and so forth. What we are seeing is a few more credits. They're still finding in the past category. But if there was a 1.20 coverage ratio that they needed, whether it's fixed coverage charge or P&I payments or we might see them falling into the 1.10 to 1.20 or 1.05 to 1.20, they've still got cash on hand and payment as agreed, but it's a narrower margin for error, if you will. So that's the way I would classify it as there's just been some movement into the -- you were at 1.25 and now you're at 1.18. And we'll score that and move them on our grading system. No reason to think they can't move right back into preferred territory, but we're conservative on the moving there. 
Operator: There are no questions registered at this time. [Operator Instructions] Our next question comes from the line of Bader Hijleh with Piper Sandler. 
Bader Hijleh: Just filling in for Alex today. I just wanted to touch on the loan book. What rates are you guys seeing new loans coming on the books? And possibly if you have by commercial and resi segment, I know you guys mentioned the loan yields being 5.29% in March. 
Gary Small: Bader, I'll take that one. We were just in a Board meeting yesterday about -- having a discussion about that. We were tracing all the new money business done on the commercial side in the second half of the year for '23. And in each month, if it wasn't 8% to 8.25%, then it was 7.95% to 8%. I mean it was in that range. And we're holding or sticking to our pricing on that. And that's without fee amortization and so forth, that would just be stated, right? So short answer to your question, we're still north of a -- there is some competitive pressure out there as folks are seeing a little bit less in the way of opportunities in the marketplace and trying to take rates down, especially back when rates look like they may move in that direction back in January.
 We resisted and you know what happened to the rate dip in January, that evaporated, so now it seems like everybody is back generally in the same category as they were before, and we're comfortable with that. There's plenty of business there. On the residential side, we continue to move a bit with the elevated curve over the last 6 weeks. And if you were looking at a perfect pristine 30-year fixed commitment right now, it would be 7.35%, 7.25%, a number of them will not be as absolutely pristine as it takes to get that rating and there's plenty going off 7.50% and so forth. 
 Having said that, we saw March. As I mentioned, volumes were very good. Whether that was pent-up demand from a weaker January or February or just seasonality, it was a good indication that there is acceptance for the rates that are moving out there right now. And I don't see that changing. It's an intertwined issue, but it's more about inventory and the rates as folks get used to that. We may start to see more inventory come on board. 
Paul Nungester: Bader, just real quick, just to clarify that yield we cited on the call. That was obviously the in-place total portfolio average. So all of history, you got stuff that's years old, 3s and 4s. That's not our new production rates, obviously, that's just where it stood at the end of March. 
Bader Hijleh: Yes. Got it. And then one more on -- I know you guys in the release had the -- I'm not sure if it was the repricing program that you guys touched on at the start of the call, that's -- that you did early in March to lower deposit funding costs. Could you provide more color on that? I'm not sure if you have actually at the start of the call? 
Paul Nungester: Yes. So in our deposit book, we've been slicing and dicing that, putting it into different buckets. So whether it's private or pure consumer, commercial, et cetera, and if you go back to last year when we were growing deposits and had a lot of promos going on and things like that, and especially in the money market space, they had some guaranteed periods and whatnot. So we've been aggregating those into buckets as they've matured already or are coming up for maturity and what have you and starting to roll those back, right?
 So if they were at a high rate, we're trimming that a few bps here and there, testing the waters, this the -- how that's going to hold, what kind of retention we've got, early results are encouraging, as Gary said, and we're going to keep at that bringing new ones in as they roll off that haven't already and even taking some second swings when we can. 
Gary Small: Yes. It's really a matter of testing the elasticity of the particular product grouping or markets since we have 8 relatively distinct markets. And that's something that you're always doing. And if you look at our portfolio right now, you would find that we early on identified a very inelastic set of outstandings and the savings and interest checking and chose to utilize that as an offset to some of the less inelastic pricing that we were having to do on money markets and so forth. So we still think there's room there, and we're going to continue to test waters we watch for balanced movement and anything that looks abnormal or if it starts to have an impact there, we'd pause for a moment and determine whether that's a theme or just an anomaly. 
 But we're -- I think what we're saying is we can now -- it's not our intention to wait for the Fed to do something to trigger us to do a little bit more activity with our existing portfolio. And we'll also be looking at some lower new money rates on CDs and so forth than we've been running. Again, for 3 quarters on the consumer side, we've been running at about a 7% annualized growth rate. So -- and that was intentional. So now we're -- this is the right time to step in and work a little bit more on the margin front because the deposit momentum on the consumer side has been so good. 
Operator: There are no questions registered at this time. [Operator Instructions] There are no questions registered at this time. So I would like to pass the call back over to Gary Small for any further remarks. 
Gary Small: Yes. I appreciate the thoughtful questions this morning, and I also appreciate those that were able to get notes out in advance of the meeting last night and so forth. That's very helpful for helping us prepare so that we could touch on the things of most interest. Again, it's a -- it's an effort you could be elsewhere. We really appreciate you taking the time to understand our business and our approach, and thanks again for joining us. Thank you. 
Operator: That concludes today's call. Thank you for your participation. You may now disconnect your lines.